Operator: Greetings and welcome to Allscripts' Fourth Quarter and Full Year 2020 Earnings Call. At this time all participants are in listen-only mode. A question-and-answer session will follow the formal presentation.  As a remainder this conference is being recorded. It is now my pleasure to introduce your host, Stephen Shulstein, Vice President of Investor Relations. Thank you. You may begin.
Stephen Shulstein: Thank you very much, and welcome to the Allscripts' fourth quarter 2020 earnings conference call. Our speakers today are Paul Black, Allscripts' Chief Executive Officer and Rick Poulton, our President and Chief Financial Officer. We'll be making a number of forward-looking statements during the presentation and Q&A part of the call. These statements are based on current expectations and involve a number of risks and uncertainties that can cause our actual results to vary materially. We undertake no obligation to revise these forward-looking statements in light of new information or future events. Please refer to our earnings release and SEC filings for more information regarding the risk factors that may affect our results. Please reference the GAAP and non-GAAP financial statements as well as the non-GAAP tables in our earnings release and the supplemental workbook that are both available on our Investor Relations website. And with that, I'm going to hand the call over to Paul Black to begin.
Paul Black: Thanks Stephen and thanks to everyone for joining the call. We appreciate your interest in Allscripts. This past year has been a year without precedent for Allscripts, our clients, nor the entire world. Allscripts associates were surprised, shocked and heartened by the initial challenge of the collective outpour of our clients' needs. The pandemic stiffened their resolve to respond to and lead into the crisis, both domestically and internationally. The success that we saw in 2020 was driven by an infectious enthusiasm to serve our clients and our shareholders. I continue to extend my most sincere thanks to the Allscripts family and I'm very proud of the way we rapidly adapted to help our clients on the front line of this pandemic. I'm also very proud of our fourth quarter results, which were above our expectations. These results were enabled by the focus and the velocity of decisions that we have made and implemented over the past year. To summarize last year, it was a year of resilience and a reset for Allscripts. We made significant strategic changes to align with our client priorities, impacting our solutions portfolio, our balance sheet, and cost base in order to strengthen the long-term fundamentals of the company. I'm confident that we will be able to leverage the work we have concluded over the past year to generate significant value for our clients, associates and shareholders as we looked at 2021. Interestingly, 35 years ago, we were founded as a company in 1986.
Rick Poulton: Okay. Thanks Paul and thanks, everybody for joining us today. I'm going to structure my comments today really around two areas. First, I'm going to give you a more detailed review of our fourth quarter and full year financial and operating performance. And secondly, I'll talk about our 2021 outlook. So as a reminder, additional financial details are available in the supplemental financial data workbook that's posted on our Investor Relations website. Given our asset divestitures, the supplemental financial data workbook has details on Allscripts financial performance, both including and excluding the results from the EPSi and CarePort Health businesses that we divested last year. This will allow you to compare our results to your original models, and our prior guidance - and the prior guidance from the company as well as assist you in building your new models and compare our 2021 outlook with 2020 results on a like-for-like basis. So let's begin with fourth quarter results. In my comments, I'll primarily be focused on non-GAAP results for the fourth quarter, which include EPSi and CarePort Health for the period that we owned these businesses. In summary, the fourth quarter was by far our best quarterly performance in years. And it continued to steady drumbeat of improved performance throughout 2020. Our continued cost management along with the traditional seasonal strength that we experienced in Q4 for both sales and revenue resulted in significant operating leverage and very strong sequential improvement in margin performance, earnings per share and free cash flow.
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session.  Our first question comes from the line of Sean Dodge with RBC Capital Markets. Please proceed with your questions.
Thomas Keller: Hey, good afternoon. This is Thomas Keller on for Sean. Thanks for taking the questions. So one on the recent launching of this new kind of Truvada Organization, with Northwell being involved there, how should we think about the potential impact on Veradigm? Does this change anything about the competitive landscape or dynamics for Veradigm?
Paul Black: No, we don't see that as having any direct impact on our Veradigm outlook.
Thomas Keller: Okay and then maybe another one kind of going back to the migration of Sunrise to the cloud. How long do you expect this kind of overall process to take and as the pandemic disrupted or delayed any elements of this?
Paul Black: It has not delayed it, it's actually given us some room to work on some things that perhaps we would not normally have. Meaning we've got some additional focus on this that perhaps might not have had as a result of a lot of other client activities that were going on simultaneously. We think depending upon what pieces we're going to move and how we're going to move it and the timeframe for that there's a lot of architectural considerations as we put the plan together. We've been working very closely with the Microsoft technical architects and solution architects to ensure that we have something that's very tight. We'll have capabilities in the cloud already. And some of those as we saw depending on what solutions you're talking about, we've had things have been in the marketplace for a long period of time. But Sunrise specifically, as I mentioned, we have clients who are actually using Azure on the low end of the marketplace and I'm talking about 100 beds and below, as well as clients in other parts of the world that are using it and similarly big sized organizations.
Thomas Keller: Okay, great. Thank you very much.
Paul Black: Thanks Thomas.
Operator: Our next question comes from the line of Charles Rhyee with Cowen. Please proceed with your question.
James Auh: Hey, it's James Auh on for Charles. Can you talk more about the drivers of performance in the life sciences business in Veradigm? You noted the strength of the business which has been consistent with what others in this space have also noted. And more broadly, how should we think about the growth profile of Veradigm in the near to long term?
Rick Poulton: Well, so our outlook for revenue, we've already shared, what do we expect out of Veradigm in the near term is reflected in that. You of course, will be able to monitor that with our quarterly reporting packs and our disclosures that separate Veradigm from the other parts of the business. So you'll be able to watch that going forward. Why do we see - I think the first party question is why do we see strength still? Paul made a lot of comments and this could be repetitive. I mean, we have a - collectively across all of our ambulatory EHRs is one of the largest footprints of market share that are in the industry. We have extensive data rights across that footprint. And we have worked hard for years. It's not just a conversation we've started recently, which is, I think, involved with some of our competitors right now. We've actually been doing this for years, working on compiling that data in a very usable way, linking it to claims data and other data registries. And we've built very extensive relationships across all of the life science community, so people are increasingly recognizing the value what we have and that's what's leading to our growth.
James Auh: And also, the adjusted EBITDA margins were well ahead of guidance this quarter, was all the upside in the margins driven by better than expected seasonal - seasonally driven software revenue, or did OpEx reductions also come in better than expected?
Rick Poulton: Both I mean, it's a combination of a better mix and higher revenue, along with continued cost improvement. Costs have been going in the right direction for us for several quarters now.
James Auh: Okay, thank you.
Rick Poulton: Thanks James.
Operator: Our next question comes from the line of Michael Cherny with Bank of America. Please proceed with your question.
Michael Cherny: Good afternoon. Thanks for all the color so far. Paul, you gave some nice updates on - in particular some of your up-sell opportunities. As you think about the next leg of the rollout with the cloud-based platform with everything integrated with Microsoft Azure, when does the next step in terms of those upgrade up-sell, cross sell potential opportunities really start to take hold in terms of when does your sales force feel like they have the tools in their toolkit to go out and continue to penetrate those customers that you've serviced for so long?
Paul Black: The announcement of that in parallel is the internal work that we're doing, obviously, on the engineering side, but it also parallels to the work we did with our sales kickoff this spring or two weeks ago. And so those folks have been, if you will, tooled up with the appropriate presentations and the appropriate capability to go out and start having discussions about that. My expectation this year is that we'll see a number of our clients who want to jump in and make the full commitment to move from especially on-premise to do something in the cloud with us. There's a lot of pressure on on-premise organizations to get to something that has these capabilities, but one of the larger drivers around all of it is around cyber. And so we expect that this will play nicely into our plans to take people to the cloud for AI, TCO, faster capabilities and delivery around upgrades and a lot of the continuous availability options that are there natively with a cloud, and that combined with a bit of an increased sense of urgency to do something different than have computers in your closet is driving a lot of that demand.
Michael Cherny: Got it and then a question for Rick, I had to do a double chick when I saw where your debt is on the balance sheet, really nice job on that front alongside of all the divestitures. As you think about heading into '21, you mentioned the use of cash on that one outstanding liability, but how should we think about the rest of the use of cash? And just from a cleanup perspective, where do you stand currently on your share buyback authorization?
Rick Poulton: Thanks Mike. So let me take those in reverse order. Our current authorization - we got a new authorization last November for 300 million. Shortly after that, we announced an accelerated stock repurchase program for 200 million. So think about two thirds of that is kind of used up by that program and that program is happening as we speak and we'll probably wrap up sometime in the April timeframe. So that will leave us some capacity under our current authorization. And then of course, we can always go back to the board and seek to up that, should we so choose. So those are just the facts around our authorization and use of it. I think the first part of your question, Mike, we've talked publicly about - we're sitting here right now - again, if you think about on the payoff of the tax obligation that I referred to, we're kind of in essence at zero net debt a little bit slightly cash positive, net cash positive position at the end of the year. We've talked about expecting to generate pretty good free cash flow off the business during the year. And I think we've made public comments about longer term, we see our target at somewhere around one and a half turns of debt on the company, as a place that we'd be very comfortable settling into. So that gives you some sense of what we have in terms of thinking about deployment of capital in the near term. And we'll look to continue to invest first in what we have, as necessary and perhaps there'll be some small bolt on type acquisitions that might make sense. Nothing on the radar right now, but there might be something and then we'll continue to buy back what we believe is undervalued stock.
Michael Cherny: Great, Thanks so much and really nice job.
Rick Poulton: Thanks Mike.
Operator: Our next question comes from the line of Robert Jones with Goldman Sachs. Please proceed with your question.
Robert Jones: Hey, great, thanks for the questions. I guess, maybe just taking a step back looking at the growth, the organic growth expectations for '21. It looks like it's kind of flat year-over-year. I guess if you think about the future, and you guys touched on some of this, but I'd be curious Paul or Rick, where do you see your future growth coming from? Like, if you had to think about your kind of accelerating the top line again, like you mentioned, Veradigm, I know there are some other obvious opportunities, but where would you say you're most excited? Or do you see the most opportunity to kind of re accelerate the top line?
Rick Poulton: Well, Bob, I mean, our answer to that is not tremendously different than what you might have heard from us in the past. But I mean, I'll just repeat it. Look, the US EHR market is largely a replacement market. I think everybody understands that. Hopefully, everybody understands that. But there will be replacement. It's still a fragmented market, the requirements to stay regulatory compliant keep going up. And we continue to believe we'll see the industry naturally consolidated. But as that happens there's opportunities for replacement wins and we expect to be a winner in the replacement market on a net basis, so that's one place. Outside the US is still a lot of greenfield and the amount of digital tool - the penetration of digital tools into most healthcare outside the US is way behind the US. So that's an opportunity that we're excited about. They tend to be public sector deals, so they're a little more difficult to predict timing, but they're nevertheless out there. And we expect to be successful there. We think they'll continue to be new use cases in the US that will drive some incremental opportunities too, so whether it's around value-based care or whether it's around reimbursement opportunities or whether it's around standards of care changing, such as incorporation of personalized medicine into care. These are areas that will create new use cases that we think we can also benefit from. So that's collectively I think the outlook around the clinical and maybe financial areas of the business. It's continuing to - one other financial area that we've seen nice growth in and will continue to expand is revenue cycle services for - in particular ambulatory clients. We've had a nice steady drumbeat of growth there. And we'll expect that to continue. And then of course, is Veradigm, which we've talked about and that's in essence, bringing our assets that we have to the payer and life science end markets and that's something we've been working on for a couple years. So we have some very real infrastructure and very real commercial relationships. And we expect those to grow nicely as we look ahead. So that's our outlook for growth and comfort.
Robert Jones: No, that's super helpful. I guess maybe just a follow up to build off of the comments around getting the balance sheet in much better shape, the debt leverage in much better shape. You obviously have access to a lot of primary care Doc's out there. There's huge focus these days on focusing on them and giving them tools and partnering with them to do more in the value-based world, whether that be with MA or even in the commercial side. Any thoughts just around deploying capital to maybe acquire an asset or maybe even I guess, invest internally to approach that market a little bit differently as far as trying to get them in a better place to take advantage of some of these capitated models that are out there and that are coming out there.
Rick Poulton: Yes, short answer is yes. But we spend a lot of time thinking about that. Whether it makes sense to build out capabilities organically or acquire some, and you should certainly expect to see us more active in that area.
Robert Jones: Okay, great. Appreciate it thanks.
Rick Poulton: Thank you.
Operator: Our next question comes from the line of Donald Hooker with KeyBanc Capital Markets. Please proceed with your question.
Donald Hooker: Great, good afternoon. So I just hope I didn't miss this, but I mean, obviously, the - if I look at the segments, I mean, it looks like your core clinical and financial solutions segment is sort of - kind of at - in the fourth quarter at a long - I think it was - is that your targeted level kind of long-term? You mentioned there are a number of different puts and takes there. But is that for that particular segment? Is that kind of a starting point albeit a seasonally strong starting point, as we think about ahead? And are you mostly now done with a lot of the efficiency initiatives and you've had tremendous EBITDA margin expansion in that particular segment over the course of the year. Do you feel like you're kind of moving on to something else now or is that going to keep going higher?
Rick Poulton: Yeah, I think - it's good a question Don. I think look, I mean, we - what you see in the fourth quarter, very real, but it is definitely assisted by some of the seasonality that I've talked about. So I wouldn't think that as - you shouldn't expect to see a higher number than that every quarter going forward okay. I think when you look at it holistically across the year, what we're signaling is that the core clinical should go up. And we'll continue to see improvement as you look at it across the full year. And that is absolutely a function of continuing on some of the margin improvement initiatives that we've been talking about for several quarters now.
Donald Hooker: Super and you did - just to remind me here that the long-term goal for that segment, I think it's 18 to 20%, from EBITDA margin, right.
Rick Poulton: That's correct.
Donald Hooker: And then maybe if I could - kind of as I'm trying to understand the different segments here, the data analytics and care coordination segment, obviously, you sold two very profitable businesses for a substantial gain, which is great, but obviously, the margin of that segment will change substantially. What is the - in the past, you kind of were targeting kind of a 30% plus margin for that segment, just to help us understand kind of the visibility to expansion over time there. Was there a new target there?
Rick Poulton: There will be a new target. We haven't published one yet. But your observation is right. We had - so if you look at our supplemental data workbook, Don I'm not sure if you've had a chance to do that yet, but you'll see a lot of details on kind of where you're going with. What does that segment look like with the businesses that we divested in it? And what does it look like with those businesses out of it? And so yes, there's a pretty new - there's a pretty clear need to reset expectations of what will happen there. We do think we'll see some nice margin expansion in 2021 there, but we haven't specifically - and that's part of my overall margin guidance, but I'm not giving specific segment guidance right now.
Donald Hooker: Yeah. Okay, super, thank you.
Rick Poulton: You're welcome.
Operator: Our next question comes from the line of Eric Percher with Nephron Research. Please proceed with your question.
Eric Percher: Thank you. A question on internal investment, I think you helped us last year at this time understand where internal investment was focused and obviously telehealth became a or virtual became a larger piece of that. And I appreciate the detail on the platform approach. Can you give us a bit of a feel of how those investments have trended over the course of 2020 and whether there's significant changes as we look into '21?
Rick Poulton: It is that significant changes Eric, in terms of where our internal focus investments are. I mean to recount - to replay. I mean, we were investing in Veradigm and the infrastructure required to help grow that business. We are investing around our core EHR solutions in terms of modernizing some of the tech around it, bringing some new feature functionalities to it as well. Paul talked about that vis-a-vis Sunrise earlier, but we're doing that with some of our other platforms as well. And we continue to invest in some areas that a couple of questions before you kind of touched on. So some of the new use cases that we believe will be coming and helping ambulatory practices participate in capitated care. And as people are taking on more risk, tools to manage that risk, tools to help them position themselves for maximum reimbursement, things like that. There's areas like that that we're continuing to invest in as well.
Eric Percher: Got it and given the investment ongoing in Veradigm and the comment on the last question, you're not quite ready to provide guidance. But when we see where Veradigm has landed without the other assets in the additional data you gave us here. Is it fair to assume growth over the course of the year, margin growth expansion over the course of the year from this new base?
Rick Poulton: It is fair to assume that for two reasons. One is I expect them to absolutely grow their top line, and they'll get very nice operating leverage off of that. But secondly, the numbers you're seeing is a full burdened allocation with corporate overhead going against the segments as well. And that is of course is part of the target area for margin improvement. So as we improve there, that'll find its way into the segments as well.
Eric Percher: Sure. Thanks for that.
Rick Poulton: You're welcome.
Operator: Our next question comes from the line of Jeff Garro with Piper Sandler. Please proceed with your question.
Jeff Garro: Yeah, good afternoon, and thanks for taking the questions. First one for me, I want to see if there is any early feedback from data users, other clients that were prospects on Sunrise 20.0?
Rick Poulton: Yeah, the response thus far has been universally positive. They are very excited about the look and feel, the core experience that we have that is a manifestation of our user centered design construct that we go into the build up with. The other thing is that this is one of the first releases that we have had that will really take full advantage of what's going on in the cloud things around voice to text, AI capabilities that you can utilize through Microsoft. As I mentioned earlier substantial amount of work and effort around how people back systems up and how they have duplicate data centers, all that can be substantially streamlined by having different experiences as well as a different contract than what they currently have, which is quite important to them as they're going through their checkbox on security, as well as uptime as well as just the capability for them to have a system that runs like a utility, basically, always on. So those are all important. And well received, if you will, but they're eager to participate in that and we get a number of clients that have raised their hand, enthusiastically. Interestingly, it's also been incredibly important for us as we're out selling new business in the marketplace. Not a lot of people have a robust set of capabilities around inpatient EMR, outpatient EMR, inpatient, billing, outpatient billing, all in one platform in the cloud. And that's also been pretty well liked and received. And my expectation there is that we're going to post more scoreboard as they say, in that part of what our overall business on the new logo side, if you will, for Sunrise.
Jeff Garro: Great, thanks for that very helpful. Second one for me, one on the financial side. You have discussed general revenue trends, but I was hoping you could comment further on retention performance in the core segment over the past year in 2020 and how you think that might trend in 2021?
Rick Poulton: Well if you recall, we started the year in 2020, talking about a bolus of attrition that we expected to absorb in 2020. And remember that was a bolus that really came from decisions made several years previous, so we talked about that and that clearly impacted our numbers and in absolute dollar terms accounts for a lot of the year-over-year decline in revenue. And so with that backdrop, our experience in 2020 in terms of how many people notified us perhaps, if you will, of their intent to leave and sometime in the future, that number was very low in 2020. And we feel good about that. So to me, that's the best leading indicator about where attrition is going. And we're doing our best to continue to drive our value proposition across and make retention as high as we can make it. So that's why I guess I can tell you about it. And then otherwise the number - our expectation for attrition is reflected or the impact of attrition is reflected in the revenue outlook that was given.
Jeff Garro: So when I think about the fourth quarter performance in that core segment or the full year kind of a similar rate of decline. And again, so is that the right trend to think about in 2021? Or is there a - from the pandemic and the only kind of rebound in utilization that we should think about there or maybe continued conservatism around that?
Rick Poulton: Well, again, what I said was - I said, we expected about a 1.5 billion. And what that represented is, in essence, we're expecting current kind of trends of revenue to continue. So that's a different message than we delivered last year. So last year, at this time, we talked about a net decline in revenue because of attrition. You're not hearing us say that this year. We're saying there is an outlook that's kind of consistent with current trends.
Jeff Garro: Understood, thanks for taking the questions.
Rick Poulton: You're welcome.
Jeff Garro: Thanks.
Operator: Our next question comes from the line of Steve Halper with Cantor Fitzgerald. Please proceed with your question.
Steve Halper: Sure, one question and one follow up. So Sunrise version 20 is that considered a normal upgrade for existing customers or is there a revenue opportunity there?
Paul Black: They're included in our charges, our monthly license support fees based on historical relationship, Steve. In many cases, that's included. Typically though, the client asks us or we have sold our upgrade center to help them move from where they are to this new upgrade. And then we also at the time really encourage the clients to not only take the upgrade, but make sure that they're taking full advantage of the features they're looking at, as well as to look at the rest of their portfolio to see if there's other things that they really shouldn't be looking at. It's time to put in surgery, it's time to put in ED, it's time to put in Sunrise financial managers, but it's time to round out the portfolio, if you will, and place all the chips in the center of the table. We have a lot of clients that have gone all in as a result of an upgrade discussion. And I think that's helping us as we have spent the dollars that we spent over the course last eight plus years to really bolster that Sunrise family of solutions and have a single patient record for all of the venues that most clients are operating in.
Steve Halper: Yeah, that makes sense. And one housekeeping question. You've given the strength of your balance sheet, what should we assume for interest expense for the year?
Rick Poulton: Well, so Steve the only debt we have outstanding are convertible bonds and the cash interest rate on that is under 1%. So I think it's seven eighths of a point, I think. So that's your cash interest. What also goes into the interest expense line item is some amortization from some of the renewal costs when we put the facility in place. So some of the costs incurred to put facility in place get amortized, so there's some non-cash there. And then if you look at our GAAP financials, there's also a non-cash charge the way accounting rules work for those convertible bonds, they in effect impute an interest cost that's closer to your straight debt rate for like a high yield offering. So that's in GAAP, but we adjust that piece out for non-GAAP. So if you use the non-GAAP financials, it's just a combination of the cash number and then some amortization of deferred costs.
Steve Halper: Got it. Thanks.
Paul Black: Thanks Steve.
Operator:  Our next question comes from the line of Benjamin Flox with Jefferies. Please proceed with your question.
Benjamin Flox: Hi, there good afternoon. Thanks for the question. My first one's just kind of around the client environment and the selling environment. How are you thinking about the stimulus package talks that we're hearing about in the potential impact on clients' financial positions? I mean, what's kind of the discussions you're hearing in the marketplace?
Paul Black: The clients benefited from that last year in a relatively material way, very interested this year in knowing what the payback for that is and when that will be. But I also believe that this administration is going to be pretty keen to ensure that people have access to healthcare and it'll be difficult for individual citizens to have access to healthcare, if the healthcare organizations are not healthy financially. So my expectation will be that whether there's a stimulus package or not, that these organizations will continue to do a bit better than they did last year mostly because the environment is more predictable. This time last year, the pandemic was just starting to hit. By March, it was full on by April and May, those were two of the worst US healthcare months that had ever been experienced, because of all fundamental shutdowns, including elective surgeries. That mode then moved into June and July, which were two of the best months that some of our organizations that we are very close to had ever experienced. So with the extended - to the extent that we now have much more predictability around that and we don't have least knock on wood, currently, anybody's shutting down elective surgeries. That's it that makes on a - the core clinical component of what we do. Very important from an overall client health perspective. They're all doing everything that they can to consolidate costs. They're moving people around. They're doing the appropriate furloughs, et cetera. So they've all become extraordinarily attuned to be being able to manage their costs probably a lot perhaps better than what they had, historically. And every single line item that they have is receiving a substantial amount of scrutiny.
Benjamin Flox: Got it, that's helpful. Thank you. I guess - sorry, can you hear me?
Paul Black: Yeah. Sure.
Benjamin Flox: Sorry. Okay. Jumping back to Veradigm, I just want to better understand, like, what differentiates the data assets? I mean, is it more - I believe it's like wholly ambulatory focused, is that the distinction kind of relative to larger data sets in the market? I mean, there's some peers out there who claim to have like a billion covered lives? Are you targeting life science, sub segments, therapeutic specific therapeutic areas? Can you just help understand - help me understand kind of the differentiation of the data set?
Rick Poulton: Well, it's an it's a longitudinal clinical data set, which is very beneficial for - as life science companies or research companies are looking at why a condition seemed to manifest itself. So that's number one. Number two, it is largely not exclusively coming from our ambulatory client base, but it's largely coming from their most prescribing behavior happens in that setting, as opposed to the inpatient setting. So that is also valuable, certainly to our life science companies. Thirdly it's about how - what level of ubiquity do you have with the information and what can you do with it? And how can you link it to claims information, I mean, data in isolation has limited value. It's when it's linked to other information is where it starts to pick up its value significantly. And so it's kind of a combination of all of that, plus the infrastructure we built around it, the commercial relationships we have, collectively add to what it is. And so not sure how much more to tell you than that right now, but from one of the exclamation points I guess I always put on that is when you know you have something when your competitors turn to you to ask them to help them get value out of their information.
Benjamin Flox: If I could just sneak one in real quick on the move - on Microsoft Azure in the cloud you talked about the potential for clients to save some money on that. Are there internal cost synergies from that at all?
Rick Poulton: Yeah, well, it's as we get a critical mass of folks moving into an Azure environment, the answer is yes, there will be cost synergies. In the transition stage not a lot, but there's no duplicate of burden either. So the real synergies will come, and we get more of a critical mass there.
Benjamin Flox: Thank you.
Rick Poulton: You're welcome.
Operator: Our next question comes from the line of Eugene Mannheimer with Collier Securities. Please proceed with your question.
Eugene Mannheimer: Thanks gentlemen. Congrats on a strong finish to 2020. I appreciate the color around the margin profile earlier. Can you give us a long-term top line growth outlook post the divestitures of the two businesses in the fourth quarter? And then my follow up would be if you could share how many Sunrise clients do you count as customers today and that's both domestic and globally? Thank you.
Rick Poulton: Well, thanks for the warm thoughts Gene we appreciate that. I guess we're just reestablishing an outlook for revenue now, I don't think we want to be in the business of long-term growth rate projections. There's a lot of variables that obviously you have to take into account there. And we've talked about directionally the areas that should allow us to grow. We've talked about the top of attrition, which is shrinking and that gives you a better base than obviously to try to grow off of. And so I think I just leave our comments at that point or there for now on that question, Gene. I'm sorry the second part of your question was -
Eugene Mannheimer: They're related to the Sunrise client base.
Rick Poulton: Yeah. So let's just say this Gene, I mean, it's in the hundreds okay. And I don't really think we want to be any more specific than that.
Eugene Mannheimer: Is that balanced across the US and overseas including Canada?
Rick Poulton: It includes all, yes, but the split on international versus US certainly skews heavily towards US still.
Eugene Mannheimer: Great. Thank you.
Rick Poulton: You're welcome.
Paul Black: Thanks Gene.
Operator: That's all the time we have for questions. I'd like to hand it back to Mr. Paul Black for closing remarks.
Paul Black: Thank you very much. Thanks, everybody, for joining us today. To wrap up our progress in 2020 on multiple strategic and financial initiatives, has been quite gratifying and was an otherwise very challenging year. Our breath of relevant solutions, strong balance sheet and sustainable cost structure position us - positions - provides Allscripts with a significant competitive advantage and a path to long-term value creation. Thank you very much for your time and interest today.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.